Antonio Velázquez-Gaztelu: Good day, everyone. Antonio Velázquez-Gaztelu, Director of Investor Relations. Good day, everyone, and welcome to the conference presentation of Enagás' results for the first 9 months of 2020. Results were released this morning before the opening bell, and as usual, are available on our website, www.enagas.es. 
 Mr. Antonio Llarden, Chairman of Enagás, will host the presentation. We expect the presentation to last for about half an hour, and afterwards, there will be a Q&A session, during which we will attempt to answer your questions as fully as possible, as we usually do. 
 Thank you for your attention, and I'll now hand the floor to Mr. Antonio Llarden. 
Antonio Llardén Carratalá: Good morning, ladies and gentlemen, and thank you for joining us today. I am joined on this online conference call by the Chief Executive Officer, Marcelino Oreja; the Secretary General, Rafael Piqueras; the Chief Financial Officer; Borja García-Alarcón; and by the Investor Relations team, Antonio Velázquez-Gaztelu and Cesar Garcia Del Río. 
 Since the onset of the pandemic, at Enagás, our priority has been and continues to be providing such an essential service as natural gas supply normally. That and the health, safety and well-being of our professionals and their families have been and continue to be our top priorities. In this context, the Spanish gas system is working completely normally. It is operating efficiently and with full flexibility, and no labor, technical or operational incidents were reported. Availability, both commercial and technical, has been at 100%, 24 hours a day, every day. 
 In the first 9 months of 2020, the use of regasification increased in our LNG plant 4% more compared to the first 9 months of 2019. A total of 190 LNG ships were unloaded, which accounts for 2% more gas discharged than in the same period in 2019. The contracted capacity of natural gas storage is at record high and has reached nearly 100%, which is very positive from the supply and price and security standpoint. The results reported in the first 9 months are totally in line with this estimate at the beginning of the fiscal year and show that the company is resisting well despite the current turbulent economic situation. 
 And now let me discuss with you the company's key financials. We earned a net profit after tax of EUR 348.9 million. That is 4.7% up the first 9 months of 2019, mainly as a consequence of the efforts that we are making to control operating and financial expenses and also thanks to the positive nonrecurrent financial result of EUR 18.4 million arising from exchange rate differences, which I believe we already mentioned during Q1. 
 The results of our affiliates or investees amounted to EUR 118 million. As for regulated revenue, due to COVID, it's estimated at EUR 11.1 million. We have a high liquidity position and maintain a solid financial structure with no significant debt maturities, as you can see, until 2022, with more than 80% of our debt at a fixed rate. Our ratings, both Standard and Poor's and Fitch, are BBB+ with a stable outlook, in line with other similar companies and European PSOs. 
 As for the outlook for fiscal year 2020, we should say that in the current scenario of the past months, the company has intensified its plan to control and save on overheads, and we are avoiding anything that is not essential for business continuity and for maintaining future activity and employment. The results of the impairment test conducted by the company allow us to ratify our net profit growth targets and commitments set for 2020. 
 In this global context of great uncertainty, Enagás has carried out impairment test on its main investments, which have been validated by the independent expert, Duff & Phelps, and reviewed, of course, by our auditor. These analyses conclude that no correction in the value-based investments on the balance sheet are required. 
 As in every results presentation, I shall now refer to the natural gas demand. The good news is that it's picking up gradually after the hardest months of lockdown. Specifically, conventional demand, which includes [indiscernible] and industries and which accounts of about 3/4 of the total of demand, fell down to -- 27% during some working days in April compared to the same period of the prior year. However, in September, it was -- September and also October, it was already at similar pre-crisis levels. The forecast is to end the year with a higher demand for natural gas than in 2018. 
 As for the financial situation of the gas system since 2018, the system has reported an annual net surplus that is making it possible to cancel all of the accumulated debt much earlier than expected. 
 Regarding the company's half-yearly results and considering the global impact caused by the COVID-19 crisis, we already included detailed information on our main affiliates or industries in the United States where Enagás is present, as you very well know through, Tallgrass Energy. The energy market has performed a strong growth over the past quarter, both in terms of production, prices, demand and levels of use of infrastructure. Well-detailed information has been provided in the presentation on the performance and prospects of Tallgrass in particular. 
 With respect to TAP, the project is substantially complete. Commissioning work is progressing as planned, and the entire infrastructure from Greece to Italy has already been pressurized with gas. The commercial forecast is maintained throughout the fourth quarter of fiscal year 2020. 
 In other countries where Enagás is present, such as Greece, Chile, Mexico or Peru, our international affiliates are performing favorably and in line with expectations for the fiscal year despite the context. All subsidiaries are operating normally, contributing to the energy security of their respective countries. To this end, they have rolled out their contingency plans in coordination with Enagás. 
 As in every quarter, I will now provide you with an update on Gasoducto Sur Peruano. The arbitration procedure is progressing as per the established procedural calendar. According to such calendar, which was finally approved by the Arbitral Tribunal, our legal advisers -- international legal advisers consider that the award and the arbitration procedure should be issued at the end of 2022. At Enagás, we maintain our willingness to reach, as far as possible, an amicable agreement with the Peruvian state to end this proceeding. 
 Well, having reviewed the highlights of the period, now I would like to talk about our EESG commitment. That is our employees, environmental, social and governance commitment. 
 Let me start with employment. In the face of the current health crisis, at Enagás, we have continued to promote the social field with a special focus on everything concerning our employees. We are firmly committed to quality employment. During the past months, we have maintained and even strengthened our workforce and have continued to promote work-life balance and flexibility measures in order to protect our private lives while meeting the demand of keeping our infrastructure run in 24/7. 
 Our action plan against COVID-19 has prioritized a safe, healthy and flexible work environment, securing the health and well-being of our professionals. In this respect, our protocol against COVID-19 has been recently certified by the Spanish certification agency, AENOR, with a very good rating. The company and the workers' trade union representatives also signed at the end of June the group's third collective bargain agreement for the period 2020-2023, which provides a stable framework for 3 years in a global context fraught with uncertainties. 
 As part of our commitment to the decarbonization process in Spain, Europe and worldwide, Enagás continues to work on developing renewable gas projects, particularly in the field of green hydrogen. Recently, the Council of Ministers has approved a Hydrogen Roadmap in Spain that set forth the national objectives for 2030. This road map foresees nearly EUR 9 billion in investments and an action plan containing 60 measures broken down into regulatory, sector-based and cross-sector instruments as well as others driving R&D. Achieving this road map in 2030 will reduce emissions as it is estimated by more than 4.6 million tons of CO2 equivalent. 
 At Enagás, we are promoting several projects in the field of green hydrogen. An example, and I believe that we should highlight this, is the green hydrogen project in Mallorca, which has been recognized by the European Commission as a strategic flagship project for the deployment of green hydrogen Europe. This initiative has been selected to receive a grant of EUR 10 million, the highest amount ever granted by the European Commission to a green hydrogen project in a Mediterranean country. 
 The goal is to produce 300 tons of renewable hydrogen per year at a hydrogen plant in Lloseta in Mallorca for use in transport, heating, cooling and storage and injection into the gas system. We will, therefore, be able to avoid nearly 20,700 tonnes of CO2 being emitted per year. Enagás is coordinating this initiative, which is also being promoted by other large companies, such as Acciona, Redexis and CEMEX and is also endorsed by the Spanish Ministry of Industry, Commerce and Tourism, the Ministry for Ecological Transition and Demographic Challenge through IDAE and the Government of the Balearic Islands. 
 The development of green hydrogen in our country will contribute to a just transition despite against the demographic challenge and to the circular economy, especially in those regions where energy transition may have a greater impact. 
 Along these lines, we find the main projects in which Enagás is working, not only the one I have just described, and which are more than a dozen. So the general criteria for Enagás participation in this type of projects are 5: mainly, they must clearly contribute to decarbonization, of course; second, they must contribute to a just and inclusive transition; third, they must drive industrial activity and generate sustainable employment; fourth, we must consider the overall value chain; and finally, number five, in the projects in which we participate, we always act in coordination with other partners. Because to promote hydrogen technology at this early stage, collaboration between companies and administrations and institutions is key. 
 This way, we can also maximize and channel investment capacity much more effectively. We are permanently in contact with regional governments where we promote these projects as well as with the regulators, especially with the Ministry for Ecological Transition and Demographic Challenge, providing and updating all the information in this regard. 
 So as not take up too much time, I'm not going to talk about the company's awards in the EESG field, which you can see in detail in the presentation. 
 Before concluding, I would like to underscore our commitment to shareholder remuneration. The results of the stress test conducted by the company, the expected cash flows and our solid balance sheet structure enable us to ratify our dividend commitment for 2020 of EUR 1.68 per share, which accounts for an increase of 5%, and also to maintain our dividend policy announced for the 2020-2026 period. 
 I will now finish my address with some brief conclusions, also fast conclusions. The gas system is operating normally, thanks to the rigorous contingency plan put in place and also to this system's flexible and efficient operation. Conventional demand of natural gas are already at similar levels to those before the crisis. The forecast is to close the year with a total demand higher than that for 2018. 
 The reinforced hydrogen road map approved by the government recently is a decisive starting point to contribute to decarbonization, attract investment, build a strong industrial fabric and ultimately create sustainable employment. At Enagás, we have been working on specific hydrogen projects for some time now. 
 Fourth, Enagás, in light of the health crisis, continues to further strengthen our social actions with a special focus on everything concerning our employees. I should say that since the onset of the crisis, we carried out more than 4,500 COVID tests among our employees and some of our vendors who have to come to work on our premises. Well, based on the data we have today and albeit these times of great global uncertainty, at Enagás, we maintain our commitments and objectives for 2020. 
 Thank you for your attention. And now if you have any questions, please feel free to ask. And as usual, we will do our best to answer them as fully as possible. Thank you very much. 
Operator: [Operator Instructions] The first question is from Fernando Lafuente, Alantra. 
Fernando Lafuente: I do have 2 questions. First of all, regarding Tallgrass, affiliate dividends, one of the most important inflows for the company are the dividends of affiliates, mainly Tallgrass. You're giving detailed information about volume recovery. I don't know if you could give us some hints regarding the Tallgrass dividend, when the decision will be made. And in this regard, I think you are confirming the objective of the company, and that dividend objective would be possible even if Tallgrass, for whatever reason, actually canceled the dividends this year. 
 And my second question has to do with the target for the net profit this year. You were talking about EUR 440 million, confirming what you said at the beginning of the year. So basically, you have any sort of estimate regarding the delta, either positive or negative, for quarter 4 regarding this target? 
Antonio Llardén Carratalá: Thanks for your question, Fernando. We're going to discuss the answer internally, and we'll get back to you in a few seconds. Thank you. 
 Well, thank you very much for your questions, Fernando Lafuente from Alantra. So basically, I can actually state that we confirm our dividend payment for 2020 regardless of the fact that in some affiliates, the dividend may be paid before or after. But we will still keep our dividend as expected. 
 Regarding the net profit figure for this year 2020, we repeat our guidance, and we still think EUR 440 million is further savings or some downside that we are not including right now. But taking everything into account, we repeat our guidance with peace of mind. 
Operator: Javier Suarez from Mediabanca. 
Javier Suarez Hernandez: I actually have 3 questions. First, regarding hydrogen. You have mentioned the project in Mallorca, and I was interested in knowing your perspective regarding the regulatory changes that are necessary to give hydrogen a chance, putting this in different words, for Enagás to play an important role in hydrogen. I was also interested in knowing your perspective regarding when Enagás might be able to begin investing to reinforce the gas transmission network, not just the individual projects that you're working on, but also investments so that the current gas network could also transmit hydrogen, not just gas. 
 And then I have another question regarding Tallgrass. We haven't yet seen any dividend payment regarding 2020 in Enagás accounts from Tallgrass. So are you expecting a dividend payment from Tallgrass in the year 2020? And do you consider the dividends and EBITDA figures from Tallgrass for 2020 are realistic, taking into account the current harsh environment, mainly the American environment, in the second quarter? 
 And then I have another question regarding TgP. Are you expecting the dividend payment of TgP by the end of the year? 
Antonio Llardén Carratalá: Thank you, Javier. Let us deliberate for a few seconds and discuss the answer internally, and we'll get back to you in a few seconds. Thank you. 
 Thank you, Mr. Javier Suarez from Mediobanca. We're going to answer some of the questions, and then we'll give the floor to Marcelino Oreja, our Chief Executive Officer. 
 So first of all, regarding hydrogen, I think that the regulatory changes could be grouped into 3 large groups: first of all, the technical elements. To put it simply, they need to standardize in the whole of Europe the percentages of hydrogen that may be transported in networks. To put it simply, I think that all over Europe who are working towards a standardization of around 10%, that's not difficult, but it does need certain elements and technical approvals. Specifically for Spain, they need to be added to the hydrocarbons regulation that manages it. 
 Second, regulatory aspect, is to actually determine the procedure for the origin certification that the hydrogen transported, stored or used is green hydrogen. And this is not complex and is just one of the regulatory aspects that is pending to be developed, and we are aware the regulators are working on it. 
 And then the third group, likewise, from the innovation perspective, generation of hydrogen from renewable electricity has certain regulatory issues and technical issues that we need to finish determining.
 So to sum up, none of the legal regulations in Spain and in Europe are the TSO's half, both electrical and gas, have plan to generate hydrogen, transport or use it. So these are the 3 main groups of measures that need to be taken. And of course, thought needs to be given to the role of different agents in these processes, mainly the transmission system operators. 
 So I'm saying, we and other TSOs have mentioned these to the regulators and the European regulators, and I do understand that this is part of things that will happen shortly, probably in the next year. And we gather that in 2021, this will be perfectly limited and finalized. 
 So in this regard, we have already planned the measures to be carried out in our networks for high pressure, likewise in the other European countries, to be able to transport this mix with hydrogen. These are very specific and technical measures, totally feasible, all of them, and of course, they are linked to the standardization of technical protocols. 
 Right now, I wouldn't like to give investment figures because until we have the certificates of origin and the technical protocols, it might not be appropriate to say how much we're going to invest. However, we know clearly which investments need to be made, and we still have the -- we actually have a schedule. That schedule will depend on the speed of this kind of projects. 
 Regarding the case of TgP, together with the Board of their company, we're planning to collect dividends by the end of the year. 
 Regarding Tallgrass, I think I'll let the Chief Executive Officer to give the answer because he'll be able to give more information. Marcelino, you have the floor. 
Marcelino Oreja Arburúa: Thank you, Chairman. Thank you, Javier, for your question. Regarding the Tallgrass dividend, the decision hasn't yet been made. This is not a [indiscernible] company right now. So the partners will make decision. And we're trying to be cautious with the company, of course, and take into account the debt situation and the future of the operator market. As you know, right now, there is big uncertainty in the U.S.A., and as soon as we know the evolution of gas and transporting oil in our infrastructure, we'll be able to make that decision. 
 Right now, it's soon, for sure. But as the President said, our dividend is independent of the dividend of Enagás. And regarding the rest of the affiliates, of course, we will comply with their dividend policy. And regarding the future forecast for the company, the company is doing a great job to source new flows of oil and gas. We have a new commercial team as well that is rendering great results, and we are positive regarding the evolution of the American market and mainly Tallgrass, which we think will overperform in comparison to similar companies in the American market. Thank you. 
Operator: Alberto Gandolfi from Goldman Sachs. 
Alberto Gandolfi: I'd like to comment 2 things that have been mentioned but maybe with somewhat different perspective, mainly regarding Tallgrass. I was reading that in the U.S.A., one of the REX customers is potentially in control of administration. They were trying to do a renegotiation of the contracts of tolling fees for EUR 1.5 to about EUR 0.30. Could you please comment on how you see this situation and whether you see a risk of more customers in your Tallgrass portfolio experiencing something similar? Or whether the diversification of customers actually gives you peace of mind in this regard? And could you please talk about the evolution of the marginal contracts of the fees of Tallgrass? 
 And then regarding Tallgrass, could you please talk a bit more regarding your EBITDA expectation for the year? You were talking about $800 million for the first half. I may have already said it, but it might be a bit lower depending on the quarter. 
 But I have a final question regarding hydrogen. I'd like to go back to the study you've done in 10 countries with the other TSOs, the European Backbone project, those 23,000 of piping for hydrogen conversion. People talk about EUR 40 billion of investment. Would it be reasonable to assume that these investments between 2024 and 2040, I think, that's what the report mentioned, about 10%, 11% of that belongs to Spain? So around EUR 4 billion in investments? 
 And in regards to the time frame, that would be EUR 4 billion in investments, and if that was the case, how could it be financed? And do you actually agree with the time frame? Because EUR 4 billion is larger than the domestic run you have currently in Spain. So it's quite a revolution for development. 
Antonio Llardén Carratalá: Alberto, thank you for your question. We're going to discuss the answer internally, and we will get back to you in a few seconds. Thank you. 
 Thank you very much, Mr. Alberto Gandolfi. And I'm going to ask Marcelino Oreja to answer the first 2 questions, and then I'll answer the third question regarding hydrogen. Marcelino, you have the floor. 
Marcelino Oreja Arburúa: Thank you, dear Chairman, and thank you, Alberto, for your questions. We cannot deny that the situation of oil and gas in the U.S.A. is complex. It's gone through a few difficult months in May and June. We do understand that some of our customers may go into Chapter 11, and we are working to replace those flows with others, even though it may be a lower pricing. But we do guess that the gas transport and oil transport is recovering, that demand is recovering, and the forecast according to demand for the next few months and years is solid.
 And many projects that were being developed or being projected might not get to be built. So that competition will disappear, competition that would have been there in other circumstances. So we actually trust that we'll recover a good profit path in the case of Tallgrass. Regarding EBITDA this year, after what happened in the last few months, we think it will drop a little and will end up around $750 million for 2020. 
Antonio Llardén Carratalá: Thank you, Marcelino. Well, let me answer the hydrogen element. Well, we're part of the Backbone project, and there are -- there is forecast until 2020, as Mr. Gandolfi has mentioned. And I speak as an engineer now, so let's put a bit of order here. This forecast for reinforcing the network is twofold: for investment in current elements and the investment in new elements in the countries affected. Right now, it's so soon to know about specific figures because no country has already begun working clearly on green hydrogen.
 So to be clear, to make these investments, we need to have hydrogen production before, and in parallel, not just production but also consumers. So the development of hydrogen projects in Europe will definitely have to be a production line development, even makes sense to invest full throttle in networks and even to build new networks if there's no prior production and consumption. And the other way around, it's true that production and consumption need to be linked for this to move ahead.
 And I'd like to add that at Enagás, right now we have about 12 live projects that are specific with the right place, with the right partners, and we've been asked by our Ministry of Energy Transition to give some ideas regarding the project's schedule. And I could actually say that out of these 12 projects, more or less 8 or 9 of them could perfectly begin next year.
 But as I've mentioned before, in turn, in timing, in parallel, we need to make some legal decisions that are being prepared all over Europe to carry out this process. So the key element right now -- and even either, say, in the next 4 to 5 years, the key element is developing in all countries or in the countries that have an interest -- Spain is one of them, and we aim to be very active in this area as far as we can, and the key element is to have a specific project where to a generation there are -- there is a corresponding number of consumers. If they can be in the project, that will be even better because that's the way to develop a market that currently doesn't exist, the green hydrogen market.
 I think governments do understand this, and that's why they are looking for a specific project. The Mallorca that we gave as an example is a pretty small project but quite significant because it's in a specific place with different companies that for different reasons are very interested in the projects, and it has the support of different administrations. And this could be a first focal point to have some sort of hydrogen valley in a certain area of the Balearic Islands. So there will be different hydrogen consumptions in different technical situations. 
 These are the kind of projects that somehow we need to replicate, projects that have a beginning and ending. Right now we cannot say, "Well, there's someone producing hydrogen, there might be someone that will consume it. No. We need to look for the closure.
 Right now, Alberto, given the specific figures of investment for 2021, might not be cautious nowadays. So we do have our figures. We do have our investment capabilities. And as soon as we get the go-ahead, because whether we have the certificates of origin or we have small technical regulations that actually make the production, storage and transport and direct consumption of hydrogen legal in certain activities of transport, industrial production or electricity generation, then we'll be in better condition to give figures for a period such as 2021, '22 and '23, for example. I don't know whether we can do that in 3 or 6 months or in 8 months, but we're working along these lines. And as far as I think other energy and nonenergy companies, large companies, are also believing in this philosophy. 
 So to sum up, I think 2021 will be a key year where different countries will have their own approved road maps that will specify these projects. And let's not forget, of course, they will receive aid because all these projects need aid from the European Commission and has generation fund that will have their own rules and procedures. And I do think that in 2021, we will be able to materialize some of these projects and then we'll be in the right position to give a schedule -- not just us, but most companies, to give a more specific schedule. Thank you very much. 
Operator: Jorge Alonso from Societe Generale. 
Jorge Alonso: I actually had 2 questions. First of all, a question related to the following: I'd like to know your opinion regarding whether the potential tax changes in the U.S.A. and the Biden proposals could have an impact on the tax situation of Tallgrass country? Or do you know that some of the proposals that could be made would have an impact? 
 And the second question is related to the news. Through your Greek subsidiary, you could be eligible for other projects, one in Greece and another regasification plant in Kuwait. Would you please give us some information regarding the size? Could there be a contribution from Enagás? Could you please tell us about the timing, size, the situation? 
Antonio Llardén Carratalá: Thank you, Jorge. We're going to discuss the answer internally, and we will get back to you in a few seconds. Thank you.
 Thank you very much, Mr. Jorge Alonso. So all the partners of Tallgrass and the management team of Tallgrass, they're honestly developing all the future work expectations, being very neutral regarding the U.S. election results. As we can see in the Board, we do not think that specific results might have a positive or negative influence in a strong manner in the case of Tallgrass, which is an established company with huge customer network with different kinds of projects, with potential for growth.
 So right now we're actually not making any bets on whether things will worsen or improve depending on the winning candidate. We think that the important element in the case of Tallgrass and the U.S. energy system is demand recovering in general. In a global context, that is more complex, certainly. But the data presented in this presentation, the data we have from the Tallgrass company are quite optimistic in the short to midterm. So we do not have specific concerns there.
 Regarding specific details of investments, the projects we could carry out through DESFA, I'll give the floor to Marcelino, our CEO. Marcelino, you have a floor. 
Marcelino Oreja Arburúa: Thank you, dear Chairman. In the case of DESFA, one of the projects is a Kuwait project. Right now we are not winners of that project, and that is the operation maintenance of the Kuwait plant, which is one of the largest gasification plants in the world. That's a bid to reach DESFA, went to the support of Snam and Enagás, a big project. And Enagás will receive about 25% of that project.
 For operational maintenance, it doesn't require an investment. It's a massive opportunity for us to get into a new servicing activity and also for our professionals to give the service on that plant. We could win the project and that would be great news for everyone.
 In the case of the investment you're referring to, as you're referring to Alexandroupolis, the RSU near Thessaloniki, a project of about EUR 300 million where DESFA plans to have a holding of about 30%. And the part that will correspond to Enagás would be about EUR 3 million, like reinforce our position in the country and help the government with their plan from their transition from coal to gas. And that will be how it would affect our accounts. 
Operator: José Ruiz from Barclays. 
José Ruiz Fernandez: I have 2 questions. First of all, the tariff shortfall estimate from 2017 to 2020, could you please share with you which was your estimate at the beginning of this year before the COVID-19 pandemic? 
 And my second question has to do with hydrogen. Have you actually discussed with Spanish regulators on the hydrogen tariffs, mainly whether future investments will be part of the gas tariff or whether a new independent hydrogen tariff will be created? 
Antonio Llardén Carratalá: Thank, José Javier. We're going to discuss the answer internally, and we'll get back to you in a few seconds. Thank you.
 [Technical Difficulty] 
 Thank you, Mr. José Ruiz. We did have a sound problem that we just managed to solve. And for the first question, I'll give the floor to Borja, our CFO, our Chief Financial Officer. Borja, you have the floor. And then I'll answer the second question. 
Francisco Altamirano: Thank you, dear Chairman. Well, from the beginning of the year, we're expecting a good gas demand similar to the year before. We also thought that the surplus of 2020 will match the surplus generated back in 2019. Those are the initial data we have. Thank you. 
Antonio Llardén Carratalá: Regarding hydrogen, we are in touch specifically, and also other companies, with regulators, discussing these items. And as far as we know, right now, no specific decision has been made regarding whether hydrogen will go through free tariffs or regulated tariffs, all right? I cannot comment on this. Regulators are discussing this right now. And we're, of course, closely monitoring this.
 And whatever they decide, whether it's the regulated or specific items, we'll see what happens. But right now I cannot answer. I'm not the appropriate person to comment on that. We're closely monitoring this topic. And as soon as the regulatory authorities deem it appropriate, they will give more information and they will specify these items. Thank you. 
Operator: Jorge Guimarães from JB Capital. 
Jorge Guimarães: And I actually have 2 questions that have to do with hydrogen. First of all, from the EUR 1.9 billion of investments from 2020 to 2030, I think that was a plan from the Spanish government, but how much would actually correspond to Enagás? 
 And secondly -- these are 2 things that have already been mentioned actually. So right now, which is the percentage of hydrogen that the Spanish transport network to support? Speaking with -- and since you are quite advanced in hydrogen, do you have any idea of when we'll have industrial-level electrolysis that is financially profitable? It's not a specific question for Enagás, but I know Enagás is quite developed, so I'd love to hear your opinion on this. 
Antonio Llardén Carratalá: Thank you, Jorge. Thanks for your question. We're going to discuss the answer internally, and we will get back to you in a few seconds.
 Well, thank you, Mr. Jorge Guimarães. We will answer all 3 questions now. So far, we shouldn't say that this is an investment and global plan for the 2020-2030 period in the amount of EUR 9 billion. That was a decision made by the Spanish ministry. What we can say is that we have several projects in the pipeline right now with an investment amount that is reasonably important, but we have to discuss this further with the relevant authorities. We have to start a process in order to obtain potential aid by the European Commission. So this is a procedure that needs to be completed.
 So at this point in time, we cannot provide any specific figures, but we can certainly say that we are technically ready to go. We received assistance in the amount of EUR 10 million for the Mallorca project. We have other assistance amounts that have already been committed for the use of ship, about EUR 30 million more. So we are working in this direction. But as I said before, we cannot actually provide any final details of this program.
 Of course, if you take a look at all of the projects we are currently managing, well, in that case, we could provide more figures. But there are many other projects in the pipeline, for example, other projects where other partners can join us. So ultimately, it's up to the European government to take a final decision on this assessment. And so what we can say is that we are technically prepared.
 Now as for the Spanish legislation, we can function up to 5% of hydrogen mix. We could operate normally. In order to reach 5% or 10%, well, there are other projects that we are now considering but need further discussion with the regulators according to the schedule that may be put in place, taking into account origin certificates, et cetera. So that needs further development.
 What I can say at this point is that we know which kind of investments can be made right now, and perhaps we need some final decisions as to the regulations that will be involved and a final schedule. 10% of hydrogen is a significant amount of power or energy. And in my opinion, I don't think this will be ready to go next year, neither in Spain or in other countries.
 As for the question concerning electrolysis, we're certainly working in this field. In the Mallorca project, we are already buying the necessary technology in order to start running our first electrolysis equipment because the hydrogen production volume is not very high yet. But we are working on it. And we have several other projects that we are also analyzing at this time in order to, well, partner up with other technological companies in this kind of electrolysis operation.
 When this will become profitable? Well, it depends on 2 factors. Number one, it depends on scale factor. We are talking about more expertise and projects being required in this case. And as I was just discussing with the CEO, it also depends on the international price of CO2. For the overall hydrogen exchange to work properly and also the decarbonization process as a whole, it's critical to have a CO2 pricing approach that may enable us to carry out projects with significant profitability. Unless we have a CO2 price that is encouraging enough, then consumers globally are unlikely to spend money just because hydrogen is green. So that is critical. And of course, it does not depend on us, but rather, it depends on the decision made by all European or international regulators that will be involved in this process. But I'm quite optimistic.
 Next, we have CO2 and then the use of massive electrolysis in order to naturally lead to technologies that may quickly improve efficiency levels. So I believe that most companies -- of course, Enagás are working along these lines, but we have to wait and see how it will play out. I'm sure that you would like to hear some more. I could answer in this regard as for next year, but I believe that it would be too early at this point to make any announcement because it could be misleading. 
 At this point in time, what we are doing is critical. There is a road map in place in Spain, Italy, France, in Germany. There are European funds that will be earmarked for these projects. The Spanish government has prepared a hydrogen-related program. That has been announced by the President. And there are other companies apart from Enagás that are clearly committed to this end, not in theory, but rather in practice with some great tangible examples. We could mention some specific locations where this is already up and running. 
 As we mentioned at the beginning, we have to arrange the overall procedure, all the regulations that must be imposed. We must see how the European projects will work. And we provided the example of Mallorca because yesterday, an article was published by -- which was sponsored by the EC. We explained about what we are doing with that specific project, how we're going to participate in that project. It's quite clear that in 2021, this project may get a green light to go, and that would be commissioned between 2022 and 2023, just to give you an overview.
 So we have a pipeline of about a dozen additional projects, and we will see the pace at which we can brought them out, not only Enagás, but also in collaboration with our partners. So thank you, Mr. Guimarães, for your questions. 
Victor Pérez: Well, you have answered almost all questions, but I have a specific question about PPA. I had a higher estimate based on what has been achieved so far. I would like to know your PPA amortization charge, the one that you have estimated. 
Antonio Llardén Carratalá: Thank you, Victor. We will discuss the answer, and we'll get back to you in a minute.
 Thank you, Mr. Victor Peiro for your question. Let me hand over to the CFO, Borja, so that he can address your question accurately. 
Francisco Altamirano: Thank you, Mr. Chairman. Well, we had a -- are considering EUR 52 million. We are intending to reach EUR 60 million in the long term. 
Antonio Llardén Carratalá: Well, thank you very much, Borja, for answering that question. Sergio or Cesar, I don't know whether there are any additional questions. 
Operator: I believe that there are no further questions, Mr. Chairman. So we can now farewell all our attendees and put an end to the conference call. Antonio? 
Antonio Llardén Carratalá: Well, if there are no further questions, we therefore conclude this conference call. Thank you very much for attending.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]